Operator: Ladies and gentlemen please standby we are about to begin. Good morning and welcome to the Fulton Financial Announces First Quarter 2015 Earnings Conference Call. Today's conference is being recorded. I would now like to turn the call over to Ms. Laura Wakeley, Senior Vice President of Corporate Communications.
Laura Wakeley: Good morning and thank you for joining us for Fulton Financial's conference call and webcast to discuss our earnings for the first quarter of 2015. Your host for today’s conference call is Phil Wenger, Chairman, President and Chief Executive Officer of Fulton Financial. Joining Phil is Pat Barrett, Senior Executive Vice President and Chief Financial Officer. Our comments today will refer to the financial information and related slide presentations that are included with our earnings announcement, which we released at 4:30 yesterday afternoon. These documents can be found on our website at fult.com by clicking on Investor Relations and then on News. The slides can also be found on the Presentations page under Investor Relations on our website. On this call, representatives of Fulton may make forward-looking statements with respect to Fulton’s financial condition, results of operations and business. These forward-looking statements are not guarantees of future performance and are subject to risks, uncertainties, and other factors some of which are beyond Fulton’s control and difficult to predict and which could cause actual results to differ materially from those expressed or forecasted in the forward-looking statements. Fulton undertakes no obligation, other than required by law, to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. In our earnings release, we’ve included our Safe Harbor statement on forward-looking statements, and we refer you to this section, and we incorporate it into today’s presentation. For a more complete discussion of certain risks and uncertainties affecting Fulton, please see the sections entitled Risk Factors and Management’s Discussion and Analysis of Financial Condition and Results of Operations set forth in our filings with the SEC. In discussing Fulton’s performance, representatives of Fulton may make reference to certain non-GAAP financial measures. Please refer to the supplemental information included with Fulton’s earnings announcement released yesterday for a reconciliation of those non-GAAP financial measures to the most comparable GAAP measures. Now I’d like to turn the call over to your host, Phil Wenger.
E. Philip Wenger: Thank you Laura and thanks everyone for joining us this morning to discuss first quarter results. After I share my prepared remarks, our Chief Financial Officer, Pat Barrett will provide details on our performance. We will refer to the slide presentation throughout our discussion. Comparisons will be to linked quarter unless otherwise noted. We will find our forward-looking statements on slide 2. Turning to slide 3, we reported diluted per share earnings of $0.22, for the first quarter up 4.8% over the fourth quarter of 2014 and unchanged from the first quarter of last year. For the first quarter of 2015 our return on average assets was 0.95% and our return on average tangible equity was 10.96% increasing from 0.88% and 9.96% respectively from the prior quarter. We reported a negative provision for credit losses this quarter. Recent improvement in charge off levels, the pace of which accelerated in the first quarter resulted in a reduction in the estimated allowance. While there are upticks in non-performing assets and overall delinquency due to two specific credits, the 2015 outlook for our credit metrics and modest provisioning remains unchanged. Linked quarter average loan growth was due to positive C&I activity partially offset by declines in residential and consumer loans. We were pleased with our first quarter C&I growth as demand was tempered somewhat by weather conditions. Geographically our C&I growth came from the central Pennsylvania and Maryland markets, partially offset by reductions in New Jersey. Our commercial loan pipeline entering the second quarter is well above linked quarter and year ago levels. The decline in residential and consumer outstandings in addition to also being influenced by weather conditions was impacted by strong first quarter mortgage refinancing activities as consumers ruled outstanding consumer loans into the refinancing package. This put further pressure on growth. We are currently offering a one year promotional home equity rate qualifying new and existing customers to boost spring consumer activity along with a new fixed rate jumbo mortgage product. Our outlook for annual average loan growth of 3% to 7% in 2015 remains unchanged. From a funding standpoint we saw a good growth in average deposit that should position us well for profitable earning asset growth and margin expansion of interest rates of employees. However, persistently low interest rates continued to exert pressure on asset yields and net interest margin. Pat will provide more details in his comments. Noninterest income was down linked quarter but showed good growth year-over-year. First quarter residential mortgage activity and related sales gains increased driven by higher refinancing activity that comprised 60% of our volume. Applications were up significantly linked quarter and year-over-year. Our results were positively impacted from higher gains on sales due to increased volumes and higher spreads. Our mortgage pipeline is up by $107 million to 238 million linked quarter. We believe that as long as rates remain stable current refinancing activity should continue. We also expect purchase money activity to increase with the spring buying season. And we continue to successfully recruit additional high performing mortgage originators. Year-over-year we saw a solid growth in a number of other non-interest income categories particularly merchant and debit card income. Our greatest challenge is in the area of deposit account related revenue particularly overdraft income. Total other expenses remained relatively stable linked quarter, but we are in the process of implementing additional cost saving measures mainly through branch consolidations. We consolidated nine branches this month and two additional branches will be consolidated in the third quarter, bringing our total reductions to 25 over the past two years. The branch consolidations resulted in $1.1 million of implementation cost in the first quarter of 2015 and will result in additional cost of approximately $700,000 in the second quarter. Going forward those consolidations are expected to generate approximately $3 million of annualized cost savings. Other initiatives include changes to benefit programs and elimination of certain positions. While these items resulted in cost of $450,000 in the first quarter of 2015 and are expected to generate an additional $3.5 million of cost savings annually. The total annualized savings from our combined cost reduction initiatives is $6.5 million with $5.3 million of the savings to be realized in 2015. Our total annualized savings is approximately $2 million higher than our original $4.6 million estimate from the end of last year. We continued to evaluate all potential opportunities to lower expenses. In the first quarter we continued to address the requirements of our existing BSA/AML enforcement actions. We also received a consent order in February for the last of our subsidiary banks, Fulton Bank of New Jersey. The provision for the most recent enforcement actions are consistent with action or consistent with those received previously and as a result of our guidance on outside services expense from the January call stands. Note that at that time we indicated we will expect to see a drop in total BSA/AML related outside service expenses of approximately $5 million in 2015 partially offset by an increase in salary and benefit expenses for BSA/AML related staff. Of course we cautioned that outside services cost can be volatile from quarter-to-quarter. Now turning to capital, capital levels remain above all regulatory minimums including required buffers under the newly effective Basel III standards. We were pleased to increase our quarterly cash dividend in the first quarter bringing our dividend yield to approximately 3%. We repurchased over 8 million of our shares last year. Last week we completed our 100 million accelerated repurchase program receiving an additional 1.8 million shares, bringing the total shares to 8.3 million repurchased under that program. Yesterday our Board approved an additional share repurchase program above the $50 million of our stock between now and the end of the year. These actions continue to have a positive impact on earnings per share and on our return on equity, continue to generate and deploy capital for the enhancement of shareholder value. At this time I would like to turn the call over to Pat for a detailed discussion of our first quarter performance. When he concludes we will both be happy to take your questions. Pat?
Patrick Barrett: Thank you Phil and good morning to everyone on the call. Unless I note otherwise quarterly comparisons are with the fourth quarter of 2014. Starting on slide 4, as Phil noted earnings per diluted share this quarter were $0.22 on net income of $40 million representing an increase of $2.1 million or 5.5% from the prior quarter. Earnings per diluted share increased $0.01 or 4.8% from the fourth quarter and were unchanged from the first quarter of 2014. The increase in earnings reflected a negative $3.7 million provision for credit losses and an increase in securities gains partially offset by lower revenues and a slight increase in non-interest expenses. Moving to slide 5 and as noted previously, our net interest income declined $4.5 million or 3.5% driven by two fewer days of interest accruals during the quarter combined with a four basis point decrease in net interest margin. The yield on average returning assets declined two basis points while the cost of average interest bearing liabilities increased four basis points. Average earning assets declined $68 million or less than 1%, the results of $119 million decrease in average investment securities partially offset by $39 million increase in average loans. The two basis point decrease in earning asset yields was driven by lower interest income on debt securities as a result of fourth quarter 2014 redemptions, lowering loan yields, and a decrease in average securities balances. These were partially offset by a three basis point benefit from a special dividend on FHLB stock. Average interest bearing liabilities decreased $67 million or 1% due primarily to an increase in average short-term borrowings partly offset by an increase related to the average balance impact of our $100 million subordinated debt issuance in November of 2014. Our average cost of interest bearing liabilities increased four basis points reflecting the impact of that November debt issuance. Thus on April 1, 2015 $100 million of our outstanding subordinated debt originally issued in March 2005 and having an effective rate of 5.49% matured and was fully repaid with on hand liquidity. As a reminder our outlook for 2015 was for net interest margin compression zero to four basis points per quarter on average based on the current interest rate environment. Our first quarter results placed us at high end of this range driven by the decrease in asset yields referenced earlier and the additional subordinated debt carrying cost. The outlook for margins at this point remains unchanged. Turning to credit on slide 6, based on our valuation of all relevant credit quality factors particularly the decrease in net charge offs on smaller balance impaired loans, we reported a negative $3.7 million provision for credit losses in the first quarter. Net charge offs decrease $5.6 million or 69% from the fourth quarter resulting in an annualized net charge off rate of just eight basis points compared to 25 basis points for the fourth quarter. Our net charge offs continued to improve as they have over the past five years at an even more accelerated rate in the first quarter. First quarter annualized charge off rate of eight basis points represents the lowest annualized charge off rate we seen since the third quarter of 2007. As mentioned earlier we saw increases in non-performing loans and delinquencies in the first quarter primarily driven by the deterioration of two credits with total outstanding balances totaling $17 million. Total delinquencies increased $24 million or 11% in the first quarter. Non-performing loans increased 11 million or 8% to 1.14% of total loans. The allowance for credit losses to non-performing loans outstanding decreased from 134% to 120% in the first quarter. For perspective over the past five years net charge offs non-performing loans and delinquencies have improved dramatically and they have reached levels that are not expected to increase or decrease in the near term as dramatically without significant changes in economic conditions. However, some changes in levels from quarter-to-quarter are likely. Moving to slide 7, non-interest income excluding securities gains decreased $661,000 or 2% reflecting lower overdraft fees, debit card income, and merchant fee income partly offset by an increase in mortgage banking income which was driven by higher volumes and spreads. In comparison to the first quarter of 2014, non-interest income increased $2.1 million or 5.4%, reflecting increases in mortgage banking income, merchant and debit card fee income, partially offset by a modest decrease in service charges on deposit accounts. During the first quarter of 2015, securities gains at 4.1 million resulted from the sales of two pooled trust preferred securities and sales of equity securities as we took advantage of favorable liquidity and market conditions. Our original outlook for 2015 for the growth rate of non-interest income was for mid-to-high single-digit range and that remains unchanged. Moving to slide 8, non-interest expenses increased less than 1% in the first quarter with net occupancy cost increasing $2.2 million due to the implementation cost associated with branch consolidations as well as seasonally higher removal cost. Also contributing to the increase in non-interest expenses were higher OREO and repossession expenses and modest increases across the range of other expense categories. Partly offsetting these increases were $3 million decrease in other outside services and $1.2 million decrease in marketing. Salaries and benefits spends also decreased 408,000 driven by fewer days and number of employees partly offset by seasonally higher payroll taxes. In comparison to the first quarter of 2014 non-interest expenses increased $8.9 million or 8.1% partially reflecting certain expenses in 2014 that were significantly lower than our quarterly run rate experienced during the preceding two years. Contributing factors in the first quarter of 2014 included lower incentive compensation and benefits cost and lower outside services expenses. So while the increase compared to the first quarter of 2014 is meaningful, much of that increase is attributable to a return to levels more consistent than with those in the prior two years. Our outlook for 2015 for the growth rate of non-interest expenses was in the low single digit range and at this time our outlook for the remainder of the year remains unchanged. Income tax expense increased $2 million or 18% while our effective tax rate was 25%. We expect that effective tax rate to continue at this level for the remainder of 2015. Turning to slide 9, as previously mentioned we continue to make progress towards building out our regulatory compliance infrastructure. Particularly the total BSA/AML related staffing and outside services costs continued to be in line with our expectations in 2015. Slide 10 displays profitability and capital levels and of particular note is the 100 basis point improvement in our return on average tangible equity of 10.96%. This reflects our most recent accelerated stock repurchase program and ongoing commitments to capital management and improving shareholder returns. And in conclusion we have included on slide 11 a summary of our outlook for the year for easy reference. Thanks for your attention and your continued interest in Fulton Financial Corporation. Now we will be glad to answer your questions.
Operator: [Operator Instructions]. We will take our first question from Casey Haire with Jefferies.
Casey Haire: Yes, thanks. Good morning guys.
E. Philip Wenger: Good morning Casey.
Casey Haire: I will start off on the loan pipeline, it sounds like the winter kind of slowed you down, just how are we shaping up at the end of the quarter versus end of year?
E. Philip Wenger: So, the winter I think really impacted the consumer. We found the most profound impact on the consumer. We also don’t think we anticipated quite the level that refinancing of consumer loans into a new residential mortgages. I don’t think we anticipated that impact either. But going into the second quarter, our pipeline has increased substantially on the consumer side and on the commercial side and on the C&I side. And it is substantially higher from the linked quarter and where we stood at this time last year.
Casey Haire: Okay, great. And then switching to fees, mid to high single-digits it is by my math that implies a run rate of -- for the remaining three quarters of 2015 that is got to current jump about 9% or high single-digits. It is a pretty aggressive ramp. It does sound like mortgage banking has got a pretty decent pipeline but even with that it does seem a bit aggressive. I am just curious what are the drivers that is keeping that guidance intact?
E. Philip Wenger: So, when we compare first quarter this year to first quarter last year. I think we are up about 5.4% to 5.5%. Mortgage is the biggest driver and we do believe we can still fall within the guidance that we gave, a debit card income is up nicely, merchant services is another area that is growing nicely. And we expect to see some pickup in investment management and trust income. The one area that we continued to battle on a fee income side is on particularly consumer deposit related fees and that would include overdraft fees.
Casey Haire: Got you, okay. And just last one from me on the capital front. You know layering in this $50 million share repurchase, still with the asset growth puts you kind of well above, not well above but it puts you comfortably above your TCE [ph] sort of targeted ratio, I am just curious, is this -- was this your best foot forward and keeping the regulators happy or were you keeping powder dry for M&A pursuit perhaps next year?
E. Philip Wenger: So, we have been -- each of the programs we had approved today have been up $50 million. This one is through the end of the year. We may be able to complete it earlier and at that time we will see if we want to do anything else. But we try to analyze where we are and I’ve taken a step at a time. There will be a point in time where making acquisitions will be obviously a much larger part of our strategy and at that time it would help us to have some excess capital available.
Casey Haire: Understood thank you.
Operator: Next question comes from Bob Ramsey with FBR investment Bank.
Andrew Karp: Hey good morning this is actually Andrew Karp on the line for Bob.
E. Philip Wenger: Hello.
Andrew Karp: So on your expenses I think you said that you are looking at around 3 million annualized cost saves for the occupancy from the branch closures. What is the base that you are looking at when you are determining that 3 million annualized cost saves, is it more like the 11.5 million quarterly that we saw at the back half of last year?
E. Philip Wenger: You know the 3 million I believe would include occupancy and salaries not just occupancy.
Andrew Karp: Okay thanks for clarifying that and going back to the return of capital, are we still targeting 100% return of earnings through the combination of the dividend and the buyback.
E. Philip Wenger: We are, this year that maybe difficult if you don’t include the accelerated share repurchase and if you include it we actually may be over a 100 so...
Andrew Karp: Okay and if I remember correctly that was -- was that funded in the fourth quarter but wasn’t actually completed until this year?
E. Philip Wenger: Yes, we received 80% of the shares in the fourth quarter and then the final 20% which turned out to be 1.8 million shares was delivered to us last week.
Patrick Barret: But we did, this is Pat, we did write a check for the 100 million in November of last year, the dollars came out then, the shares 80% delivered then, the other 20% last week.
Andrew Karp: Okay, thanks and just one more on credit, are we still anticipating getting down to the 1.25% allowance to loan ratio and if so when do we think that, that happens?
E. Philip Wenger: We are still headed in that direction and it’s hard to say when it will happen. I think in general we have been moving that number down between three and five basis points a quarter and I would think that maybe that pace would continue.
Andrew Karp: Okay thank you.
Operator: Next question comes from Chris McGratty with KBW.
Chris McGratty: Hey, good morning everybody.
E. Philip Wenger: Hi Chris.
Chris McGratty: Hey, I just want on good on the share count, your end of period shares were 179, your averages were 0.5 million higher, walk me through the impact of the 1.8 million assuming you don’t buy any stock in the second quarter for calculation purposes.
E. Philip Wenger: Yes, so the only impact on the share count during the first quarter was a slight issuance which is normal in the first quarter to fund normal compensation related activity. So all the shares for the upfront 80% we received in the fourth quarter of last year and then the final terminations settlement, the additional 20 some odd percent of 1.8 million shares was last week. So it was Q2. So, the impact in the second quarter would be that 1.8 million almost for the entire quarter not completely and then anything additional that we would buyback in the new program.
Chris McGratty: Okay, thank you for that. Can you remind us the cash at whole income today, I am just trying to get a sense of putting together your comments about buybacks and whether there is any contemplation of another consolidated repurchase.
E. Philip Wenger: We don’t -- I don’t think we disclose the holding company specific balances but we maintain I’ll say multiple years of liquidity at the holding company for what’s necessary. We have regular dividends that come rolling out from the affiliates and are able to accelerate those as needed. But I think it is reasonable to think that we can fund repurchases on ongoing basis certainly as we are earning net income to continue to deploy 100% of our earnings if the stock price cooperates and other growth options don’t present themselves.
Patrick Barret: And Chris, on April 1st we did utilize $100 million of cash to pay off these $100 million of subordinated debt that came due.
Chris McGratty: On the margin Pat, your secured yields dropped maybe I am just hitting the prepared remarks, could you maybe elaborate what drove that 15 basis point reduction, was it kind of clinging there, was it from sales and then maybe a comment on any update on considering the FHLB kind of restructuring?
Patrick Barret: Right, securities there was lot of activity in the quarter. There was an impact of cash flows that we didn’t pick up on dispositions as well as on auctioneer [ph] security cash flows that the balances are down probably a third from where they were going into the fourth quarter due to fourth quarter redemptions. There was a pretty significant drop from both of those. And additionally I should say we generate around between $25 million to $30 million of cash flows from securities primarily from the CMO and mortgage back portfolios. And our reinvestment activity has been extremely limited for the last six months although we did invest about 35 million during the second quarter that we were able to re-up and find some securities in those risk classes that were around 2% yield. So it is a combination of different kinds of security balances changing as well as our reinvestment. And then from a FHLB perspective, you are talking about our longer-term FHLB debt, is that correct.
Chris McGratty: That is right.
Patrick Barret: Yes, we have got a series of tranches that are maturing in the fourth quarter of 2016, first quarter of 2017, little over 400 million with an average coupon on that blended portfolio of about 4.2%. So, the prepayment penalty on doing anything with that continues to equal or exceed the total amount of interest we pay if we held it until it matures. So, although we could drag that expense forward then we need to refinance it with something and it is still from an economic perspective. It is something that would have -- still isn’t a clear and compelling argument for us from an economic benefit perspective. We keep looking -- I think it is fair to assume we keep looking for restructuring opportunities and combination of opportunities to lock in really attractive funding rates that we have right now. But the balance of those two things is a continuous focus for us.
Chris McGratty: Great, thank you. Last question, just to make sure if I am clear on the guidance, the expense and the fee income guidance are adjusted for unusual items, correct Pat like the charge in the quarter on the securities gains?
Patrick Barret: Well they really kind of reflect the 2015 full year results compared to the 2014, so 460 million of expense run rate in 2014, we expect something in the low single-digit increase as an example.
Chris McGratty: Right, but I guess my point is if -- on mortgage -- fee income you didn’t make any security sales and gains into your mid upper single digit did you?
Patrick Barret: I got you, I got you, that is correct. That is correct.
Chris McGratty: Alright, thank you.
Operator: Next question comes from Dave Bishop from Drexel Hamilton.
David Bishop: Hey, good morning gentlemen.
E. Philip Wenger: Good morning Dave.
David Bishop: I was wondering if you could speak to on the funding side, maybe looks like the cost to current deposits is taking up a little bit of your -- what are you saying in terms of your current promotions and pricing and average duration of the term deposit base?
Patrick Barret: Yes Dave, this is Pat. So we had a couple of different periods during the year last year second quarter and fourth quarter where we were pretty deliberately looking to extend I’ll call extend the maturities in duration of our CD funding. We didn’t meaningfully increased the balances but we were able to attract some new money but also roll over existing maturities into longer term particularly five year CDs with 2% or 2.25% handle on this. As our liquidity position I should say continued to improve and a little bit of a modification of the view on interest rates as far as when they are going to go up and I think we dialed that back and we feel pretty good about the position that we are in now. But you are definitely seeing the impact of both a longer duration and a more expensive CD portfolio in our cost of funds this quarter and last quarter. As we are still going through increasing average balances during the fourth quarter.
David Bishop: Alright and maybe just some updates in terms of the positioning of the balance sheet in terms of net interest margin sensitivity for long and short term interest rates.
E. Philip Wenger: Sure, so we have been modestly asset sensitive for the last several quarters and I would say that slightly continued to grow for the first 100 basis points of increase we would see 4.9% increase in net interest margin. We would see that increase to close to 10% for the second, 200 basis points from a EDE perspective, value of equity. I think the impact is less, less prevalent but we do remain modestly asset sensitive and in parts just to the excess liquidity that we been carrying on the balance sheet and add some sort of reinvest in aggressively in two things but I think interest rates keep not going up.
David Bishop: And then one final question, little bit of a tick up in OREO expenses, do that looks like maybe beginning the year reappraisals and maybe outlook for the trend of those expenses moving forward.
Patrick Barret: Well there is some tax expense in the quarter that wouldn’t be in other quarters and I think the gains that we have on a couple of sales were as high as they have been running in the past.
David Bishop: Thank you.
Operator: Next question comes from David Darst with Guggenheim Securities.
David W. Darst: Hey good morning.
E. Philip Wenger: Good morning David.
David W. Darst: On the fee income and the kind of growth expectations if that tells at the three core areas where you could see the higher growth rates offsetting that core decline in the deposit accounts these as in the interchanging merchant, the investment management which you described, and then also maybe like commercial fee income?
E. Philip Wenger: Yes, I would say that we anticipate growth in a number of our corporate products that will include our merchant services, that would include our cash management, that would include a general fee, that would include fees from a swap program we have. So overall we do anticipate our commercial fees to increase, yes.
David W. Darst: Okay and then as you look at just the current quarter, did you have maybe higher origination volumes then you’d expect but also higher payoffs resulting in a yield compression?
E. Philip Wenger: We did have a higher mortgage origination was higher I think than we expected. What resulted is that, a number of adjustable rate mortgages that would have been on our balance sheet refinanced in the fixed rate mortgages drove those balances down. And then also folks ruled in consumer loans into the mortgages so, that drove back the drop in consumer loan balances also.
David W. Darst: Okay and just maybe on asset quality this is in the second quarter where you’ve had higher recoveries in the construction work is that still a source of benefit to an MTR rate for next couple of quarters?
E. Philip Wenger: You know our recoveries have been running pretty flat I guess is the right word they have been consistent for the last three or four quarters and we would anticipate that would continue into the next quarter.
Patrick Barret: I guess, I would add to that the impact of interest reversals on recoveries and workouts has dropped in the last couple of quarters. We were seeing a higher run rate in the second and third quarter then the last quarter of this some margin impact.
David W. Darst: Okay, so I guess the real improvement you are seeing is just going to be on the gross charge off rates.
E. Philip Wenger: Well we expect it to continue at the level that it’s been as far as recoveries.
David W. Darst: Okay. But how about your close charge off rate, is the portfolio cleaned up and now that you are going to really kind of track to something that is maybe 3 million to 5 million a quarter in net charge offs?
E. Philip Wenger: We think it will continue but as David that is so dependent or can fluctuate quarter-to-quarter based on one or two credits. So that is a really hard number to say that it will stay that low but in general without surprises that come along we expect it to be pretty consistent.
David W. Darst: Okay, thank you.
Operator: And I’ll move to Bob Ramsey, FBR Investment Bank.
Andrew Karp: Thank you for taking the follow up.
E. Philip Wenger: This is Andrew.
Andrew Karp: Yes this is Andrew. Can you just talk about the fall process behind the reserve release this quarter I guess given the MPLs were higher?
E. Philip Wenger: You know our rate of charge offs has been decreasing and that decrease accelerated in the first quarter. And so when we go particularly on smaller balance loans and so we had to adjust our models and that drove the release.
Andrew Karp: Okay and on a quarterly basis I think we were targeting between 0 and 5 million on the provision?
E. Philip Wenger: And I think that’s a good number.
Andrew Karp: That’s a good number for the following three quarters?
E. Philip Wenger: Yes.
Andrew Karp: Okay, thank you.
Operator: [Operator Instructions]. And we move next to Blair Brantley with BB&T Capital Markets.
Blair Brantley: Good morning everyone. Most of my questions have been answered but just want to ask about the charter consolidation, any update there, I know you talked about it a little bit during the conference, I just want to give -- hear any update that you may have?
E. Philip Wenger: So our primary focus remains on the BSA/AML and getting that where it needs to be. And when that occurs we will move forward with the consolidation of the charters.
Blair Brantley: So no hard numbers or anything content to paper, anything else been done there?
E. Philip Wenger: We have not put together hard numbers on cost.
Blair Brantley: Okay, alright and then secondly I know you mentioned some of the where C&I have been showing some strength from a geographic perspective, can you kind of talk about the overall volume prospects for your markets and where you are seeing strength and the weakness across the board.
E. Philip Wenger: The strength, the two markets that we see the most strengths are at central Pennsylvania where we’ve always been strong and then the other market that’s really picked up for us is Maryland and over the last 18 months we have been able to bring on 12 new lenders in our Maryland markets from various competitors and they are really starting to gain some traction for us. New Jersey continues to be a little slower than our other markets and Maryland and Virginia and Delaware also we see some strength but not to this same degree as Pennsylvania and Maryland.
Blair Brantley: Okay, any fallout from the recent deal that is because of one of your largest competitors, any update there?
E. Philip Wenger: So, as we had mentioned in the past a lot of that happens overtime and not upfront. But, market disruptions help us and I think that we will do our best to have whatever market disruption there is. We will try hard to have it benefit as much as possible from both the customer standpoint and from a talent acquisition standpoint.
Blair Brantley: Okay, thank you very much.
Operator: Next question comes from Matthew Keating with Barclays.
Matthew Keating: Well thank you. My two questions were just asked by the previous caller, so thanks.
E. Philip Wenger: Great, thanks Matt.
Operator: And ladies and gentlemen with no further questions in queue I would like to turn the conference back over to management for closing remarks.
E. Philip Wenger: Well, thank you all for joining us today and we hope you will be able to be with us when we discuss second quarter results in July.
Operator: And ladies and gentlemen that does conclude today's conference. We do thank you for your participation. You may now disconnect, have a great rest of your day.